Operator: Good morning, ladies and gentlemen. Welcome to the MAA Fourth Quarter and Full Year 2020 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, the company will conduct a question-and-answer session. As a reminder, this conference is being recorded today, February 4, 2021.
Tim Argo: Thank you, Ashley and good morning, everyone. This is Tim Argo, Senior Vice President of Finance for MAA. With me are Eric Bolton, our CEO; Al Campbell, our CFO; Rob DelPriore, our General Counsel; Tom Grimes, our COO and Brad Hill, our Head of Transactions. Before we begin with our prepared comments this morning, I want to point out that as part of the discussion, company management will be making forward-looking statements. Actual results may differ materially from our projections. We encourage you to refer to the forward-looking statements section in yesterday’s earnings release and our 34 Act filings with the SEC, which describe risk factors that may impact future results. These reports, along with a copy of today’s prepared comments and an audio copy of this morning’s call will be available on our website. During this call, we will also discuss certain non-GAAP financial measures. A presentation of the most directly comparable GAAP financial measures as well as reconciliations of the differences between non-GAAP and comparable GAAP measures can be found in our earnings release and supplemental financial data, which are available on the For Investors page of our website at www.maac.com. I will now turn the call over to Eric.
Eric Bolton: Thanks, Tim. We appreciate everyone joining us this morning. As detailed in our fourth quarter earnings report, MAA ended 2020 on a positive note. Results were ahead of expectations and we carry good momentum into calendar year 2021. During the fourth quarter, leasing traffic was strong and we captured 6% higher move-ins as compared to prior year. And despite the normal seasonal slowdown during the holidays, we were able to capture positive blended lease-over-lease rent growth that equals the prior third quarter with particularly strong renewal lease pricing averaging 5.2% in Q4. Average physical occupancy also remains strong at 95.7% in the fourth quarter, a slight improvement from the performance in Q3. We believe these trends supported by improving employment conditions and the positive migration trends across our footprint positions MAA for a continued outperformance into the coming spring and summer leasing season. Overall, conditions are setting up for a solid recovery cycle for apartment leasing fundamental across the Sunbelt over the next three years or so as demand recovers and supply levels moderate a bit into 2022. I believe for several reasons that MAA is in particularly, strong position as we head into the recovery part of the cycle.
Tom Grimes: Thank you, Eric, and good morning everyone. The recovery we saw beginning in May and June continued across the portfolio through the fourth quarter. Leasing volume for the quarter was up 6%. This allowed us to improve average daily occupancy from 95.6% in the third quarter to 95.7% in the fourth quarter. In addition to the improvement in occupancy, we’re able to hold blended rents in the fourth quarter in line with the third quarter at an 80 basis point increase. All in place rents are effective rent growth on a year-over-year basis improved 1.3% for the fourth quarter. As noted in the release collections during the quarter, we’re strong. We collected 99.2% of build rent in the fourth quarter. This is the same result we have in the third quarter of 2020. We’ve worked diligently to identify and support those who need help because of COVID-19. The numbers of those seeking assistance has dropped over time. In April, we had 5,600 residents on relief plans. The number of participants has decreased to just 491 for the January rental assistance plan. This represents less than 0.5% of our 100,000 units. We saw a steady interest in our product upgrade initiatives. During the fourth quarter, we made progress on our interior unit redevelopment program, as well as the installation of our Smart Home technology package that includes mobile controls, lights, thermostat, and security, as well as leak detection. For the full year 2020, we installed 23,950 Smart Home packages and completed just over 4,200 interior unit upgrades. January’s collections are in line with the good results we saw in the fourth quarter as of January 31, we’ve collected 98.7% of rent build, which is comparable to the month end number for the third and fourth quarters of 2020. Leasing volume in January was strong, up 4.9% from last year. Blended lease-over-lease rent growth effective during January exceeded last year’s results for the first time since March. Effective blended lease-over-lease pricing for January was positive 2.2%, a 40 basis improvement from the prior year. Effective new lease pricing for January was negative 1.8%. This is a 70 basis point improvement from January of last year. January renewals effective during the month were up 6.3%. Our customer service scores improved to 110 basis points over the prior year. This aids to our retention trends, which are positive for January, February and March, as well as lease-over-lease renewal rates for those months, which are in the 5.5% to 6.5% range.
Brad Hill: Thanks, Tom and good morning, everyone. While most buyers have returned to the market, the lack of available for sell properties continues to restrict transaction volume. investor demand for multi-family product within our region of the country is very strong and this supply demand imbalance is driving aggressive pricing. due to the robust demand supported by continued low interest rates, cap rates have compressed further and are frequently in the high 3% and low 4% range for high-quality properties in desirable locations within our markets. we expect to remain active in the transaction market this year, but based on pricing levels, we’re currently seeing, we’re not optimistic that we will succeed in finding existing communities that will clear our underwriting hurdles in 2021. While acquiring will be a challenge as noted in the earnings guidance, we do plan to come to market with $200 million to $250 million of planned property dispositions this year. we will redeploy those proceeds into our growing development pipeline, which currently stands at $595 million with eight projects and just over 2,600 units. In the fourth quarter, we started construction on the MAA Windmill Hill in Austin, Texas, as well as Novel Val Vista, a pre-purchase in Phoenix, Arizona. both of these are lower density suburban projects that we expect to deliver stabilized NOI yields around 6%, well in excess of our current acquisition cap rates. despite increased construction costs as well as some supply chain issues related specifically to cabinets and appliances, our development and pre-purchase projects remain on budget with no significant delay concerns at this point. We have several other development sites owned or under contract that we hope to start construction on in 2021 and into 2022. we are encouraged that despite facing some supply pressure. our phase 2 lease-up property located in Fort worth continues to lease up at our original expectations, as does our soon to be completed Phase 2 in Dallas, we’re over 90% of the units have been delivered.
Al Campbell: Okay. Thank you, Brad and good morning. core FFO of $1.65 per share for the fourth quarter produced full year core FFO of $6.43 per share, which represented a 2.7% growth over the prior year and as well above our internal expectations following the breakout of the pandemic. stable occupancy, strong collections and positive pricing performance were the primary drivers of continued same-store revenue growth for the fourth quarter, which was 1.8%. And for the full year, which is 2.5%. As expected, same-store operating expenses for the fourth quarter were impacted by growth in real estate taxes, insurance costs and the continued rollout of the bulk internet program, which is included in utilities expenses. And now, some of this pressure will carry into 2021, we expect overall same-store operating expenses to begin moderating this year, which I’ll discuss just a bit more in a moment. Our balance sheet remains in great shape. We had no significant refinancing activity during the fourth quarter, but we continue to fund development pipeline and internal redevelopment programs. As Brad mentioned, our development pipeline has increased to eight deals with total projected costs of $595 million.
Operator:  We’ll take our first question from Sumit Sharma with Scotiabank. Please go ahead.
Sumit Sharma: Hi, good morning. Thank you for taking my questions. Thank you for providing all the color on the stats in Q4. I guess to kick things off in terms of the SS rev growth this year, I know you mentioned that Tampa and Phoenix were one of your stronger markets. So, just wondering as you looked at 2020, Phoenix was the strongest performer, Orlando was the weakest. the spread in SS revs was 630 bps. In Q4, that changed, Tampa was better and Orlando was the weakest. So, I guess what’s that spread look like in the context of your 2021 guidance of 1% to 3%. And where do you see the most meaningful change in performance? In terms of things you already know about?
Tom Grimes: Yes, I’ll start with that one. And I’ll let Tim or Al wrapped up on the forecast. What I would tell you is, as I mentioned in the call, the thing that is most different for us in 2021 is the shift in the swing in jobs bringing from negative 6.4 to positive 3.4, and that’s going to be the thing that drives us in that moves – that moves across the markets. We see that at the high end, where we’ll continue to see markets like Tampa and Raleigh, and Phoenix and Jacksonville accelerate. but we’ll also see it in places like Orlando in Houston and D.C., which are weaker now, but they will begin to improve as job growth comes to play in those markets.
Al Campbell: Yes, just looking for the future in our – what we have in our forecast, the 2% overall. I mean, I think you just think about the markets and some of the markets that we’re thinking would be the strongest as Tom talked about and mentioned Phoenix, Raleigh, Tampa, Jacksonville, some of the ones that are going to be okay. markets that are going to be reasonable, it’s still challenging Atlanta, Dallas, Austin, and then some of the more challenging markets, Houston, Orlando and D.C. And I think all of those together and basically, the pricing trends we see right now and expect for the year, given the job growth comes the 2% expectation.
Sumit Sharma: All right, got it. Thank you so much for the color. One more if you will indulge me on supply, now you talked about 2021 supply being 25% – priced 25% higher and centered in urban and downtown market or submarket. I guess we – the permit levels are less than at low levels in pre-COVID levels, but they are increasing as we’ve heard from other market participants as well. So, keeping that in mind, do you have any insights to share on what types of markets or products or price points that are being emphasized by the new permit? So, not the 21 deliveries, but what’s being started right now at a more garden style, more urban, less urban, any color on that?
Brad Hill: Yes. this is Brad. I would say that just giving the economics of what we’re seeing today, it’s really hard to underwrite more urban high density product. So, I think it’s safe to assume that a higher percent of the product that’s being developed today is more suburban in nature. But I’d say having said that, when we look at the spread between the rents of new supply, that’s coming online versus our properties, that spread is still really good and as Eric said that, that’s leading to more redevelopment opportunities for us. So, we think that that continues. It’s hard to say where just looking at permitting trends while they’re clearly down versus pre-COVID levels, I would say construction starts are down even more. It’s hard to say just from the permitting data, where that supply is located. but my sense is that it’s going to be more suburban in nature. but given the economics of where costs are the rent levels of those are still going to be pretty substantial compared to our current product.
Eric Bolton: This is Eric, Sumit, I’ll add to what Brad is saying. I agree, based on everything that I’ve seen that it does – it would appear that the majority of a lot of the – this permitting activity is oriented more suburban in nature. But having said that, one of the things that we’re really starting to see more evidence of is frankly entitlement and permitting is getting more challenging as more of this multihousing product heads to the suburbs. We’re seeing a lot of – particularly, in the satellite cities, the suburban cities, if you will, that have their own school systems and their own municipal governments, they are becoming very restrictive about what they are allowing the way of apartment permitting believing that these additional households will put some level of stress on the infrastructure and we’re seeing that the permitting activity is starting to get a lot more restrictive than it ever has been in a lot of these Southeastern markets. So, I think there’s another if you will, a hurdle starting to develop across some of these Southeast markets that will make it increasingly a little bit more challenging to supply some of these suburban locations.
Sumit Sharma: Thank you so much for the color. I’ll use my time. Thank you.
Operator: And we’ll take our next question from Neil Malkin with Capital One. Please go ahead.
Neil Malkin: Hey everyone. Good morning.
Eric Bolton: Good morning.
Neil Malkin: So, this is the first time, I think that you guys have really called or Eric, your comments have called out the in-migration. Can you maybe, talk to that, what you’ve seen over the recent months in terms of that sort of out-migration from the coast just given the confluence of bad factors that the coasts are facing, which has been exacerbated by the COVID and work from home. I think last quarter you laid out some statistics about like, what percentage of your new leases were from out of state. If you could just update us on that and any incremental commentary from the property level managers would be great to hear. Thank you.
Tom Grimes: Yes, Neil. it’s Tom. I’ll jump in on that one, if that’s all right. Move-ins from people moving into our footprint from outside of our footprint was 12.2% of total move-ins in fourth quarter. that’s the highest we’ve seen and reflects the steady upward trend that we’ve seen over the past couple of years. It was – for context, it was 9.2% in Q1 of 2019. So, almost a 300 basis point increase, we’ve seen that steadily happening from 2019 on, just to give you a little bit more color on the Q4 move-ins, New York move-ins, move-ins from New York state were up 36%. And apartment searches – we pull some information from Google, apartment searches in Atlanta were up 60% in New York city, move-ins from Massachusetts were up 43% and apartments in Raleigh searches were up 68% in Boston. And trends go on from there. The other notable is probably California, which is up 60% and apartments in Austin searches were up 90% in Los Angeles.
Eric Bolton: And Neil, this is Eric. just to add on to some of that detail that Tom laid out there. I do think that there are a lot of reasons to believe that a lot of this migration trend that we saw the U.S. population to the Southeast over the past year as I mentioned in my comments earlier, a lot of these trends were evident prior to COVID. COVID accelerated those trends somewhat. And I would tell you that I believe a lot of this – a lot of the moves that took place during 2020 are pretty sticky in nature. And I think that the trends are likely to continue post-COVID. I think you have to recognize a lot of these Southeastern markets. They continue to offer all the same attractive qualities that I think started the trend some years back and what is happening as more employers are bringing more knowledge-based jobs and tech jobs into this region of country. The employment base is really starting to further diversify and of course, work from home and these knowledge-based jobs allows a lot more remote working, which I think is also working in our favor. And so I think that a combination of just how these economic trends have been building, frankly, and these jobs in migration trends have been building for the last 10 years or so recognizing celebrate a little bit last year. but those trends were in place well before COVID, and I think we’ll continue past COVID. the affordability of the region, particularly as it relates to housing continues to – I think be very, very attractive. It will become even more so over the next 10 years. And I think we also have to recognize that these Sunbelt markets are continuing to become very desirable places to live and what Nashville and what Austin, and what Raleigh have to offer people today, versus where they were 20 years ago is night and day difference. And so I’m very optimistic that we are at the beginning of some continued very favorable trends for housing needs throughout this region of the country.
Neil Malkin: Thank you, all. Eric, so I guess what you’re saying is you think it would be – it will take longer, or it may not happen for the people, who’ve moved here, areas to make the trek back to the coastal urban city.
Eric Bolton: Yes. I think the idea that once the vaccine is in place and if you will, society returns to normal. the idea that there’s going to be this giant reversal, our population shifts back to the gateway markets. I think that’s a ridiculous argument. I don’t think that’s going to happen. Those trends were in place to the Southeast and Sunbelt markets before COVID. COVID accelerated a little bit and I think those trends are going to be and we learned a lot last year, and employers learned a lot in and households learned a lot. And I think the attractiveness of this region is only – is better understood today than it ever has been and I think these trends are going to continue.
Neil Malkin: That’s great. The other one for me, the single-family market has been very strong. You have new and existing home sales and mortgage applications at multiyear highs. I’m just wondering, and obviously, you guys are theoretically more exposed to that sort of risk, just given the relative affordability. Have you seen any uptick in move-out for home purchases or home rentals, or anything like that that would give you some reticence, just in terms of potential demand erosion, let’s say over the next 12 months?
Tom Grimes: Hey, Neil, it’s Tom. I mean, nothing – I mean, zero reticence I would say, we’re quite pleased with the way the market conditions are going at this point. In the fourth quarter, home buying this time was up slightly by like three percentage points is a move-out reason or about 200 move-outs on total. So, I mean, we saw a little bit there. but as you look forward, our accept rates are at their normal level. So, we’re not seeing any turnover go up over time there. And home renting is a flat again, so that continues not to be a major factor. We agree with you that the overall, home buying market certainly getting stronger and we wouldn’t surprise to see that tick up from time to time, but it is – it’s really reflective of a strong jobs market and a good economy, and that produces jobs and frankly, jobs are the thing that drive our business. So, it would be my thought thus far.
Neil Malkin: All right. Thank you guys for the time and love the Sunbelt.
Tom Grimes: Thank you, Neil. We do too.
Operator: We’ll take our next question from Nick Joseph with Citi. Please go ahead.
Michael Bilerman: It’s Michael Bilerman here with Nick. So, I had a question and Nick had another one as well, Eric, as you think about – I know how positive you are on the current markets in the Sunbelt and all the trends that have been accelerated away from the gateway market. You inherited D.C. when you thought a post, I don’t know if it was a gift with purchase or whatever, but you got some exposure to some coastal exposure in the Northeast. What would make you come in and want to buy or developed any gateway markets, I guess, at what point does the risk reward, what needs to happen a) from a diversification standpoint? Is it trends? Is it relative values, growth profiles? I guess, where is your mindset about that today? because if everyone is zigging, maybe, you want to zag and maybe, there would be a good opportunity from a value perspective there.
Eric Bolton: Well, Michael, I would tell you that my principles and sort of the philosophy that I’ve always had in terms of how we think about deploying capital is really continues to be grounded in the overriding belief that the most important thing that we’re charged with doing is deploying capital in a manner to create the highest recurring quality revenue stream and earnings stream that we can to pay a steady growing dividend throughout the cycle. And if you will and creating a optimized, sort of full cycle performance profile. at end of the day, I think re-shareholder capital over time – over a long period of time is largely rewarded through steady earnings growth, obviously and particularly, dividend growth. And having said that, I’ve always believed then that the best way to accomplish that performance objective in that profile is deploy capital, where demand is likely to be the best and the strongest and growing in a consistent fashion over a long period of time. I get it that the Southeast markets for years, the argument and the criticism was that there lower barriers to supply and new supply can come in, and oversupply and market. What I would tell you is, what supply causes is it causes moderation. What demand causes is steady earnings growth over time and on a falloff in demand can have catastrophic consequences and an oversupplied market is unlikely to be catastrophic in nature. It can be weak for a year or two, but it’s unlikely to trigger a massive sort of upsets your earnings stream, which can put a company in trouble, create dividend stress or things of that nature. So, I’ve always believed that these Sunbelt markets offer the performance profile that we’re after and that’s what we should be doing and where we should focus our capital. So, it’s a very long answer to your question, but no – we have no interest in now using this opportunity to go into these gateway markets. I don’t think our – what we’re trying to do for capital for shareholder capital would not be sufficiently rewarded for pursuing that. At this point, we don’t see a reason to do that and we like what we’re doing.
Michael Bilerman: How do you think about just the risk reward from a return perspective, right? I think you’re extraordinarily fortunate to be so heavy in these markets having built the platform that you’ve done through a lot of hard work in acquisitions and M&A and development. But there’s a lot of capital chasing these markets too, right, which is going to drive down returns overall and I’m not ignoring the fact that the demand is extraordinarily strong. but is there a financial side of it too that as money’s coming out of these gateways, that you could create a better total return by deploying capital or reallocating capital in the portfolio, or is that just not – in your view, the demand is not there. so, I’m not going to – it doesn’t matter if I can get 100 basis points or 200 basis points higher initial return out of it.
Eric Bolton: No. I get your point. And I mean, obviously, I think it depends somewhat on your investment horizon as you think about risk return or risk reward return. I think, clearly, there’s going to be opportunities that are going to emerge in some of these gateway markets, where you can go in and deploy capital and make an investment and create an exceptional return on your investment. I think it somewhat depends on your horizon and how long, you want to think about the capital being deployed in that market. Again, from our perspective, we’re very long-term investors, very long-term holders, and we’re trying to create an earnings profile from that investment action to match up well, in terms of how we’re trying to perform for capital over a long period of time. And so we just don’t believe that with that horizon that we’re working with and that objective that we’re shooting for, that the gateway markets really aligned for us in the way we want to try to perform for capital. I’m not suggesting that focusing on those markets is wrong. And I think there are certainly ways to make a lot of money in those markets. But I think, you have to think about your horizon perhaps a little bit differently. And I will say that while we continue to see capital coming into these markets, I think that there are times, where these gateway markets over the last and this over the last 10 or 15 years, I mean, just attracting enormous amount of capital and a lot of international capital sometimes that I think, was really motivated by now semester of looking for a great return on their capital in some cases is looking for a place to preserve capital if you will. And so you get a lot of different influences with some of these bigger gateway markets and particularly, with international capital that can, I think, create some distortions from time to time, in terms of assets are being priced relative to the long-term earnings potential of the investment. So, we just see volatility and other aspects of those markets that – those gateway markets that just don’t really match up well to how we’re trying to perform for capital. And we’re going to continue to focus on it the way we do.
Nick Joseph: Thanks. Appreciate that. And this is Nick, just one other question on guidance. The first quarter range is pretty wide. Obviously, we’re a month into the quarter, and there are fewer leases that are signed. I recognize still the uncertainty, but just wondering if you can walk through how you could end up at the high end or the low end, and then specific to your same-store revenue comment, where you expect same-store revenue to be in the first quarter. I know you said it should be the lowest point of the year.
Al Campbell: Yes. Nick, this is Al. I think – and just overall, I mean, just given the uncertainty that’s in the marketplace, I think that the first quarter being the first quarter of the year and where you have the most uncertainty, I think the range was just to reflect that. And I think the driver for the forecast for the whole year is based on revenue performance and so I think that’s the key to be the top or the bottom of the range and really, for the year or for the quarters. And I think the first quarter, as talked about a little bit in the comments is expected to be the lowest revenue quarter for the year, but that’s really reflecting effective rent per unit, which is a combination, which is a backward or a trailing indicator, which is combination of the pricing you did last year, plus what you’re doing this year. And so we’re expecting improving pricing trends, but the first quarter will be the lowest revenue quarter, because it will reflect really, the bulk of last year’s pricing, which was 1.3% on average and we certainly expect that to be higher in 2021 based on the forecast we’re pleading together. So that’s really the key factors. Hope that answers your question.
Nick Joseph: Okay. Thank you.
Operator: And we’ll take our next question from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning, guys. Tom, there was nearly an 800 basis point delta between the new lease rate and the renewals. How sustainable is that type of spread and given the pricing’s out there on the internet, why aren’t residents pushing you guys harder on renewals?
Tom Grimes: The spread is always going to be kind of the widest at this time of the year, because new lease pricing is at its most challenged, but the – that delta and that delta will close over time. but that gap will always be there. And the – really, the variation is with a new renter, they have a level of leverage, because they’re shopping and they can move anywhere and their switching costs are really the same. if we have done our job and provided good resident service and taking care of the residents and frankly, a pretty challenging time. We’ve earned the opportunity, because we’ve created for value to charge a little bit more. And so that is where we have the most pricing power, because we’ve worked with them, we’ve earned them and their switching costs are a little bit higher. So that delta that you talked about has always been there. It is widest in this time of year and it will be tightest in the summer months, but we expect that and we plan for that and we ask our residents for a little more to reflect the value that we’ve created for them.
Rob Stevenson: And implied in the guidance for the year, I mean, where are you guys thinking that new lease versus renewals winds up coming in? we’re talking about something that’s more or less flat on new leases are still negative there and how significant should the – or is the guidance anticipating renewals be?
Tim Argo: Rob, this is Tim. I think what we would expect overall is that new lease pricing probably slightly negative. It’ll – it’s very seasonal as Tom mentioned and depends on the – it’s sort of the leading edge of demand. So, you’ll see pretty negative in Q1, Q4 move to positive as we get into the summer. But I think over the average, probably a little bit negative and then renewal is kind of hanging in there like they have, anywhere in that five to six range and again, burying some with a little bit higher in the summer, a little bit weaker in the fall and winter.
Rob Stevenson: Okay. And then the other one from me is, you guys did, call it, $424 million of revenues in 2020. How much of that is non-residential, so retail, commercial, other spaces at your properties? And where did that wind-up coming in versus expectations a year ago? I mean, what was the negative delta? how significantly was that impacted over the last year versus what you would have expected this time a year ago?
Eric Bolton: I think the major component that’s outside of residential is really just commercial. It’s only about 1.5% of our revenue stream. So, it’s really minor overall, Rob. And so we we’ve had pretty good performance. I mean, we’ve looked at our tenants and we certainly have some programs to sort of rent, where we need to – but we had good collection on a lot of our tenants are fair strong, and have strong businesses that have been able to continue paying well. And so it’s – so collections have been good, so it hasn’t even on a small number. We’ve had pretty good performance still on a relative basis.
Rob Stevenson: And the occupancy there, I mean, are you guys fairly full? Is that sort of, is that half full, I mean, how are you guys sort of characterizing, even though it’s a small percentage given that it’s also amenity space for some of your tenants as well I assume?
Rob DelPriore: Hey, Rob, it’s Rob DelPriore. The – we’re sitting in about 85% to 90% occupied and we’ve collected about 90% of the revenues and cash on the commercial side.
Rob Stevenson: Perfect. Thanks, guys. Appreciate it.
Operator: We’ll take our next question from Amanda Sweitzer with Baird. Please go ahead.
Amanda Sweitzer: Great, thanks. Good morning, everyone. Can you talk a little bit more about what you’re seeing today in terms of construction financing? Have you seen the large money center banks come back to the market at all? And then how has development loan terms changed relative to pre-COVID both in terms of interest rates and then LTVs?
Brad Hill: Yes, Amanda. this is Brad. I’d say that the construction financing is really kind of a mixed bag. I think it depends on a few things. One the markets that folks are looking in, certainly some markets are easier to get financing in or less hard to get financing in than others. And I think it also depends on the sponsor, I mean, I think what we’re seeing is generally for the larger developers, the strong sponsors that historically, have had a pretty good pipelines. they’re still able to get financing. But I think the smaller developers that do just a handful of deals a year, they’re not as strong. they don’t have as stronger relationship with the banks or having a little bit tougher time getting their debt financing lined up. So that certainly has been an impact in financing. And that also certainly leads to some of our pre-purchase opportunities. in terms of loan terms, we’re seeing, call it, 10-year rates in that 4%, 4.5% range for a construction financing, which I think is still a decent at the moment, really, the only change that we’ve seen – the biggest change we’ve seen in construction or in financing – not construction financing, but is really, has to do with the low cap rates that we’re currently seeing for where these stabilized assets, the low cap rates are starting to drive some LTV movement in order for debt service coverage ratios to continue to be held. So, we are seeing loan to values come down a bit. We’re not seeing any impact yet on pricing, but we’ll really just see how that unfolds later this year as more opportunities come to market, but that’s basically what we’re seeing at the moment.
Amanda Sweitzer: That’s helpful. And then on your comment about that cap rate compression, what’s kind of a reasonable assumption for a cap rate for your targeted disposition this year?
Brad Hill: I think for our dispositions, given that we’re selling – we’re selling our Jackson, Mississippi portfolio, which we had on the market last year is 30-year-old, 35-year-old product in a tertiary market. You’re talking 5 to 5.5 cap rate for what we’ll look to sell this year. We’re looking to sell properties that really don’t wind up as well with our overall growth strategy. It’s going to tend to be older property in some of these smaller markets initially, where really, the – after CapEx; cash flows are really not what we’re looking for. And then the long-term growth is obviously, not what we’re looking for as well. but on a historical basis, the cap rates for these properties are still really, really good at the moment, but I’d say, 5 to 5.5.
Amanda Sweitzer: Okay. That makes sense. That’s it from me. Thanks for the time.
Operator: And we’ll go next to Alex Kalmus with Zelman & Associates. please go ahead.
Alex Kalmus: All right. Thank you for taking my question. Quick one on stimulus checks, given your market backdrop, the stimulus one-time payments will likely go further for your residents than compared to the urban environments. So well, is there a limited historical fact in, how do you think these will play out in terms of your rent negotiations this year?
Eric Bolton: I wouldn’t think any stimulus check is going to help that situation, but we’re frankly in such a strong position on that with our collection rate where it is, it’ll help close the gap to give us back to last year, and would be welcome, but it would just primarily help a little bit.
Alex Kalmus: Got it. Thank you. And just touching upon the recurring CapEx, I noticed year-over-year, there was a little jump there. Can you provide some additional color and which will be increased?
Al Campbell: I think recurring CapEx can be – it can be the timing of certain jobs, whether it’s some of the significant jobs like paint jobs, and some of the things of that nature. I think over time, we expect for what we put recurring and revenue enhancing together, and we’d expect to spend call it 1,100 per unit to 1,200 per unit those two together in 2021, which is fairly significant to what 2020 was, but somewhere in that field for the long-term.
Tom Grimes: Yes. And I would add, we had a little bit bigger jump from 2019 to 2020 in recurring CapEx, but for 2021, we’re projecting a very modest increase in terms of recurring CapEx.
Alex Kalmus: Got it. Thank you very much.
Operator: We’ll take our next question from John Kim with BMO Capital Markets. Please go ahead.
John Kim: Thank you. On your prepared remarks, you mentioned blended lease growth rate was 2.2% in January. You expect improving pricing trends this year, but then effective rental growth of 1.7% for the year; assuming that these are apples-to-apples numbers are pretty close to it. Why would that effective rent growth for the year be higher?
Al Campbell: Well, John, this is Al. The effective rent growth talk – we’ve talked a moment ago about that a bit. I think that’s more of a trailing indicator. It’s a combination of all the leases you have in place right now. And so the pricing performance we had for 2020 was 1.3% on average. And so while projecting for 2020 is certainly higher than that. I think you could do the math, but this is a rough approach, but it’s been a pretty easy way to look at it is take half of what we did in 2020 and half of what we expect to do in 2021, and that’ll drive your effective rent growth of 1.7%. So, you can do the math on that back into we’re expecting something in the 2% to 2.5% range on pricing in the first quarter was, I mean, the January was a good indication toward that.
Eric Bolton: Taking away Al just said, if you take half your lease-over-lease performance – blended lease-over-lease performance for 2020 and half of your blended lease-over-lease performance for 2021 collected are together that comprises what your effective will be for the year.
Al Campbell: And that’s the back of the envelope way to do it. But I think if you do that, given that we have at leases an average of a year that works out pretty close and you can get to where we are in our forecast.
John Kim: Okay. Your redevelopment pipeline sits up 15% sequentially this quarter. Can you just remind us how long you think it’ll take to complete the 10,000 units to 15,000 units of redevelopment?
Tom Grimes: In terms of the pipeline going forward, we’ll do over 5,000 units and 2021 towards that. But what we found John over time is that as we move forward our product ages another year and new supplies brought into the market. So, I would be surprised if we ever blew through our potential on that, but at this rate, it would be about three years, but I would expect us to see the pipeline grow over time as new properties are added to it as market conditions change, product added – product is added and product ages.
Eric Bolton: John, just to add to what Tom was saying that, as he mentioned, there’s new product comes into the market, that really what that does is that that expands our opportunity for redevelopment. And historically, at least over the last number of years, where the redevelopment opportunity for us has been – the best has been in some of our more urban-oriented locations, which is really where the opportunity largely lies in portfolio now, particularly with the legacy post portfolio, but as new supply begins to over the next few years, if it is more oriented towards the suburban locations, that’s actually going to expand our field of opportunity for more extensive redevelopment out in the suburb components of the portfolio. Because obviously, this new product is coming in at a price point that is well above our existing product and with comparable locations and comparable appeal in that regard, we can go in and make these investments with kitchen and bath upgrades and create a very competitive product and still off of the market, the renter market, a slight discount to the newer product and get great returns on capital and get great lease-up success with it. So, we think that this is a real opportunity for us over the next few years and we expect it to stay at the same high level for the next three or four years for sure.
John Kim: Is 19.5% a good run rate as far as what you expect – as far as the effective rental growth for the pipeline?
Eric Bolton: I’m sorry. Say that again.
Tom Grimes: Say that again, John. We didn’t get it.
John Kim: The 19.5% rent growth that you had…
Eric Bolton: Yes, yes. Those are, I mean we’re – we test and we would expect our return to continue absolutely.
John Kim: Okay, great. Thank you.
Eric Bolton: Thanks, John.
Operator: And we’ll take our next question from Zach Silverberg with Mizuho. Please go ahead.
Zach Silverberg: Hi, good morning. Thanks for taking my question. Could you guys just talk about the opportunity set on your development pipeline after the two new starts, you’re up to about $600 million properties under development, what type of turns are you underwriting and sort of how does that compare to the acquisition market in those specific markets?
Brad Hill: Yes, Zach. this is Brad. I think Eric touched on it a bit in his comments. We do have a number of sites that we’re currently working on – predevelopment work on; we’ve got some that are owned, some that are under contract. I’d say in terms of the terms that we’re underwriting, not a lot different than what we’ve underwritten previously. We are fortunate in our markets that the rents have continued to hold up within our markets. So, we’re not often to make some aggressive assumptions with rent trending or some large recovery and rent in our underwriting. So, the two that we just started as I said in my comments, we’re still looking at north of a 6% yield and certainly, that compares very favorably when you look at Class A brand-new products in our markets, what they’re trading at today. So, we continue to believe in that. we have another own site that we purchased in Denver. We hope to start in 2022. We’re working on a site in Tampa, a site in Raleigh. Those are likely 2022 sites as well. And then we have under our pre-purchase platform, where we’ve got one in Salt Lake City that we hope to start in the second quarter. And then another site in Denver in our pre-purchase platform that we’re – hopefully, we’ll start in the third quarter of this year or so.
Zach Silverberg: Got you. Appreciate the color. And in your prepared remarks, you mentioned it was about 3%, I think of gross assets and it was moderate risk, sort of what is the maximum and minimum risk you’re willing to slide the lever on in between development?
Al Campbell: I think we’ve discussed, historically, somewhere around 4% to 5% would be a range that we would look at, I think. but when you’re looking at your actual pipeline relative to your enterprise value, another aspect of risk is how much is unfunded. And so I point to this fact that we have $600 million sort of going right now, we only have a fairly small amount that’s unfunded. So, I think those two factors together, it’s what you would consider. So, we’re definitely at the low end of the risk range on that right now. And you’ll see our pipeline grow a bit at 2021 as Brad talked about and in early 2022, but certainly, a modest risk program given our profile.
Zach Silverberg: Thank you.
Operator: And we’ll go next to Rick Anderson with SMBC. Please go ahead.
Rick Anderson: Thanks. Good morning, everybody. And of course, Eric, I didn’t expect you to open up the comments suggesting that everyone’s going to move out of the Sunbelt next year. So, no surprise there. but if you do look at the statistics in the period after the last great recession 2010 timeframe, the migration out of New York, for example, substantially slowed. And you can argue that there are some real organs in a lot of other areas that you’re not in that could entice people perhaps even more this time around than then. Again, it’s never been positive in migration. really, I don’t think that’s ever happened with the Sunbelt into a market like New York, but it probably would normalize. And so when you mentioned this 12.2% of total leasing is moving from outside of your footprint, how much is that impacting your growth profile, because you really probably don’t want to hang your hat on that type of level for very long.
Eric Bolton: No, I mean, I think that we still believe that a lot of the growth that we will have in demand, if you will be – people that, that have been in the Sunbelt will stay in the Sunbelt organic, if you will. So, I don’t disagree that the 12%, it go back to years ago before COVID, the move-ins from outside of our footprint, we’re a little over 9%. So, even compared to where we are today with COVID, it’s only moved up from 9% of our movements from outside the footprint to 12% of the – so, your point is valid in that sense. It hasn’t changed radically. But I just, I feel like that what we’re going to find is that over the next – I think there’s a real fundamental shift that has – that was in place if you will to some degree before COVID as employers and job seekers, if you will, were continually drawn to this region of the country as a consequence of all the things that you know about. And I just believe that those factors have not moderated they have not lessened. COVID accelerated them a little bit, but those trends are going to continue well past COVID. And I think that what we’re finding this, particularly as some of this millennial generation continues to age, they’ve moved in up in their career. They’ve moved into jobs increasingly that I think offer the ability to be more remote than they have been in the past that drive that they had to be in New York and work 60 hours, 70 hours a week that was then. they’re in a different place now. And I just – I feel like that a combination of frankly, the aging millennial generation and how they’re lifestyle needs evolve and desires change as well as retiring baby boomers, who are looking for change and looking for a more affordable living that those two big slugs of the demographics of the U.S. the millennials in the retiring baby boomers those are huge numbers. And as those two age demographics evolve, I think the Sunbelt stands to benefit more so than some of the higher cost coastal markets. And so I’ve heard somebody suggest that yes, the coastal markets are going to – the gateway markets are going to come back, but they’re probably going to come back a little bit cheaper and a little bit younger than they were before and I think there’s probably some truth to that.
Rick Anderson: Okay, good enough. That’s good color. And then my second question, perhaps, well maybe, on the uncomfortable side, but I never shy away from that. You’ve had some sort of C-suite succession activity in some of your peers, Essex UDR, AvalonBay and I wonder, to your credit, Eric, you have made MAA not an Eric Bolton show, you have a great bench there. And I think everyone recognizes that, but can you talk about how much this team right now today looks to be in place for the next at least, few, three, four years, or we can talk about the succession plan that’s perhaps in place for you and others, how that dialogue is happening at the board level? Thanks.
Eric Bolton: Okay. Well, we can take a poll around the table right now if you want, but we won’t do that. What I would tell you, Rich; it’s a very active topic at the Board level. We discuss it to some degree at every meeting. There’s active planning that’s underway and continues to this day. I will tell you that I feel great and have no plans to do anything different. I don’t play golf and don’t really have anything else to do. So, I’m focused and planned to continue in that way for some time. But as you point out, we’ve got a great team, a great bench strength; the company has been through a lot in the last seven years to eight years. the team has really come together. And so we’re developing in focus on leadership development and leadership succession, but frankly, we don’t see a lot of change in the near-term horizon.
Rick Anderson: Eric, right. I mean, you’re probably not mentioned £500 anymore either.
Eric Bolton: Now, it’s down to £490.
Rick Anderson: Okay, great.
Tom Grimes: Hey, Rick. just a real quick point on what we’re hanging our hat on as you mentioned earlier. I mean, supply is going to be pretty much the same. Job growth in 2020 was negative 6.1% in our markets, it’s going to be plus 3%, 4% that 900 basis point swing in job growth is really what we’re hanging our hat on for near-term growth.
Rick Anderson: You got it. Thanks, Tom. Appreciate it.
Tom Grimes: You bet.
Operator: We will take our next question from Rick Skidmore with Goldman Sachs. Please go ahead.
Rick Skidmore: Hey, Eric. Just a question – just with regards to how you think about development going forward, and the shift and perhaps working from home and people wanting more space, are you changing the design of the developments and does that change the economics in terms of how you think about returns as you go forward? Thanks.
Eric Bolton: Rick, I mean, we are a little bit more focused on creating workspace areas, nooks and things of that nature in a number of our apartments. And we’re also very much more oriented towards outdoor amenity areas in a shared office sort of configurations in some of our leasing centers. Frankly, it’s not really having much of an impact on our overall cost of build-out. And we certainly, think that there’s a lot of reason to continue to introduce more of the support for work from home, but no real significant change in terms of the cost impact for us.
Rick Skidmore: Thank you.
Operator: Okay. We will take our next question from Austin Wurschmidt with KeyBanc. Please go ahead.
Austin Wurschmidt: Hey, good morning, everybody. Could you give us the actual data around what the ratio of jobs to new supply is in 2021 for your markets versus maybe, 2019 and some historical averages, if you have that with you?
Tom Grimes: Yes. Of course, for our group, the jobs to completion ratio last year was negative 8.1; it swings to positive 7.1. And I think we’ve consistently found that 5:1 is a place, where we can grow we’re at. So, it’s a substantial shift and sort of the key to our rent growth aspirations.
Austin Wurschmidt: Yes. I appreciate the data point. And I think it kind of really goes to some of the questions that I’ve heard asked and maybe, Eric, your tone, just on the recovery in your markets seems pretty upbeat, but yet when you kind of take where fourth quarter same-store revenue growth was, and you look at the midpoint of the guidance, you layer in the accelerating redevelopment, I guess, one of the questions we have, and I think others are driving at is why isn’t that driving a little more reacceleration other than just the earn-in of last year’s effective rents, is there anything else you’ve assumed in guidance higher turnover, lower occupancy that’s contributing to maybe a more muted reacceleration in 2021?
Eric Bolton: No. I think that what you have to recognize is that getting the revenue impact of pricing changes takes time, and it takes time to go up and it takes time to go down. We went into the 2020 with some of the highest earned in leasing performance that we’ve ever had, and that allowed effective rent per units remain fairly strong if you will throughout 2020, which was hugely helpful. I remember late in 2019, people asking me, what I worried about. And I said, I worried about a slowdown, I worried about something happening with the economy. And in preparation for that worry, the best thing we could do is grow rents as hard as we could, even at the expense of giving up a little bit of occupancy and allow that compounding benefit to be there as a protective performance on revenues should we see the economy weaken and that certainly, helped us this past year. So, what I would tell you that, I mean, there are two things at play here that I think are going to cause the recovery process, recovery slope to be steady as opposed to being a real steep up curve if you will. one is we are still battling supply issues and we will have those supply issues throughout 2021, pretty consistent with what we saw in 2020 that we think it actually peaks in the first part of the year and probably, starts to moderate a little bit towards the back half of the year, but that’s well after we get past the peak leasing season for 2020. So – and then as we pointed out the supply picture, I think improves as we get into 2022 and beyond at least for a couple of years, I think probably, by the time we get to 2024, 2025, it starts to accelerate again, as a consequence of what we see happening with permitting today. But the other factor that is at play here is that, we are still now carrying in the first quarter of this year is going to reflect the full negative impact of the pricing performance that we had to do during the spring and summer leasing season of 2020 when it was at its weakest. And so that all that’s going to continue to roll through the portfolio and it will peak, we believe in the first quarter. but as we get into the spring and summer leasing season of 2021, where we do believe that the leasing environment will be much more positive and better than we will again, start to compound that improvement in terms of our revenue performance and it will build, and it will build by the time we get into late 2021 and particularly, as we get into 2022. So that – those two things sort of supply picture, but particularly, sort of the compounding effect of lease-over-lease pricing and what it does to revenues, it takes time for that to work through the system.
Austin Wurschmidt: That’s very helpful. And then you guys mentioned the – where you expect cap rates on dispositions this year for the assets that you have teed up, where would you pay cap rates today, just kind of across your markets. And I’m curious if you have a sense of maybe, what type of growth buyers are underwriting and how far off you think you are on assets that you’re betting on?
Brad Hill: Well, Austin, this is Brad. I would say, talking about cap rates across our markets, certainly, as I mentioned, it’s very aggressive on new assets for these Class A new assets in our markets that we’re looking at. I would say from a growth aspect, it’s hard to pinpoint what the other folks are certainly underwriting. I would say one of the things that’s driving the difference in valuation, it really is leverage. Certainly, our leverage level is a lot different than high levered buyers that are looking for 65% to call it 80% leverage on some of these deals and given where interest rates are. that’s a big difference in the valuation of these assets. And so I’d say that that’s probably one of the levers that’s having a biggest impact on our ability to be able to compete with those folks.
Austin Wurschmidt: That makes sense. Any sense where maybe, the cap rate spread is versus long-term interest rates versus a couple of years ago, has that tightened at all in your markets?
Brad Hill: I think it’s certainly pretty low. I think if we’re seeing interest rates right now in that 3% to 3.5% range, it’s probably come up a little bit in the last 30, 60 days or so. And you’re still seeing again, cap rates in the low-threes or high-threes, low-fours, that spread is certainly low right now. And what we’ll just have to see as is as interest rates move a little bit more and these LTVs change a little bit how that that filters through in pricing. We just don’t know right now, there’s so little assets coming to market that they’re able to still find a buyer for most of these assets, but as the supply of these properties pick up and come to market, we’ll just have to see if there’s an impact to pricing once that picks up and the supply demand on investments here changes a bit.
Austin Wurschmidt: Got it. That’s very helpful. Thank you.
Operator: We’ll go next to John Pawlowski with Green Street. Please go ahead.
John Pawlowski: Thank you. Just one question from me. Last few quarters, the smaller markets that really outperform your larger metros, are you seeing notable, the same notable in-migration trends in the Alabama’s and Memphis Greenville or is this just more of a factor of more supply hitting the larger metros a little harder?
Tom Grimes: I think, I mean, we’re seeing the increase in in-migration sort of everywhere, and you do have it in places like Greenville, but it’s consistent and it’s been the same thing that it has been before things like BMW and BASF and Michelin, and those large international manufacturing conglomerates that are in those places. But it is – so it is – those are holding that is coming –that is continuing. And then obviously, we’re seeing strong results out of the – some of the larger markets than like Phoenix and Raleigh, but the spread of in-migration is fairly widespread even Huntsville is picking up some of it, because of the NASA expansions there.
Eric Bolton: And John, I would add to what Tom saying is that yes, I mean, we do see the supply pressure more pronounced generally, in the bigger markets, and that historically, has always been the case, which is why we’ve always intentionally embraced a good component or a percentage of the portfolio to be invested in some of these secondary markets. We think that secondary marketing exposure does provide some downside protection to our performance profile against the pressures that often come from time to time from supply. And so those secondary markets are doing exactly what we thought they would do during this phase of the cycle.
Tom Grimes: Yes. Sorry, John, I misheard a bit there. And then I’d also add in the supply as you expect and largely, no on those large markets tend to be more urban and suburban balance that we have has helped us there as well.
John Pawlowski: Yes. Thank you very much.
Operator: We will take our final question from Buck Horne with Raymond James. Please go ahead.
Buck Horne: Yes. thanks for keeping the call going along. I appreciate it. I’m going to ask one question then. Single-family rentals, thinking about you’re seeing a lot of home builders validate the concept getting into purpose built communities of single family rentals that can operate like horizontal apartments with an amenity, maybe, in more kind of outlined locations, but definitely, Sunbelt. Does a concept like a purpose built single-family rental community potentially, offer you anything attractive in terms of diversifying the product mix, or how do you think about that concept going forward?
Eric Bolton: Well, Buck, it is something that we’ve been talking about a bit. I do think that if you get a purpose built single-family rental community, where you get, if you will, all the homes in a very organized, defined sort of community footprint, let’s see, along the lines of what you just described kind of a horizontal multifamily plan, if you will. Then yes, we think that there may be some logic to that. We are – we’ve seen a few examples from time to time and should – right now, of course, that that kind of opportunity is attracting a ton of capital. So, pricing is pretty competitive, but should the opportunity present itself for something that along the lines of what you’re describing it would be something we would take a hard look at for sure.
Buck Horne: All right, great. Thanks. Congrats, guys. Appreciate it.
Eric Bolton: Thanks, Buck.
Tom Grimes: Thanks, Buck.
Operator: Thanks. No further questions. I’ll return the call to MAA for any closing remarks.
Tim Argo: No further comments. So, appreciate everyone joining us this morning and let us know if you have any additional questions. Thanks.
Operator: This concludes today’s program. Thank you for your participation. You may disconnect at any time.